Operator: Good morning ladies and gentlemen and thank you for waiting. At this time, we would like to welcome everyone to Adecoagro's Fourth Quarter 2012 Results Conference Call. Today with us we have Mr. Mariano Bosch, CEO; Mr. Charlie Boero Hughes, CFO; and Mr. Hernan Walker, Investor Relations Manager. We would like to inform you that this event is being recorded and all participants will be in listen-only mode during the company's presentation. After the company's remarks are completed, there will be a question-and-answer session. [Operator Instructions]. Before proceeding, let me mention that forward-looking statements are based on the beliefs and assumptions of Adecoagro's management and on information currently available to the company. They involve risks, uncertainties and assumptions because they relate to future events, and therefore depend on circumstances that may or may not occur in the future. Investors should understand that general economic conditions, industry conditions and other operating factors should also affect the future results of Adecoagro and could cause results to differ materially from those expressed in such forward-looking statements. Now, I will turn the conference over to Mr. Mariano Bosch, CEO. Mr. Bosch, you may begin your conference.
Mariano Bosch: Good morning everyone and thank for attending our call. We have completed the 2012 year, and we are proud of how our teams responded to the strategies presented. In the sugar, ethanol, and energy business, our strong operating performance during the fourth quarter allows us to finish 2012 with more gross cane than 2011. As a result of this increase, and the improved efficiencies in the operations of our mill, Adecoagro was able to reduce production costs, which allowed us to keep the EBITDA margin at similar levels of 2011, despite the lower sugar and ethanol price. I would also like to highlight that the current construction phase of Ivinhema mill has finished. This (inaudible) was successfully completed during November and December of last year, and the mill is now ready to start milling operations. With Ivinhema coming online, we expect to start taking advantage of the synergies provided by the (inaudible) and continually increasing our cost of production. Our agricultural team has been focused in expanding our sugarcane plantation. We were able to plant over 23,000 hectares in 2012, reaching a total plantation size of over 85,000 hectares, which represents an increase of 31% compared to last year. We would also like to mention that we have ended the year with the approval of the BNDES loan, which has secured the financing of (inaudible) growth of the classes. Moving to the farming and land transformation business, we have completed the 2012 year with a performance in-line with the past year. The 2012-13 harvest year is on track. Planting was done in an adequate and timely manner, and crops are now in their growth phase. Different weather patterns have affected our crops in different ways. As you may have heard, some productive regions of Argentina have suffered as well during January and February of 2013, which mainly affected the soybean and corn crops. On the other hand, the irrigated rice crop has been developing in (inaudible), water availability and sun radiation have been optimal, and we expect to have a much better year compared to 2012. This proves how (inaudible) geographic diversification allow us to mitigate risks. Also, 2012 has been a strong year for our land transformation business. We have been able to put into production almost 9,000 hectares. This is a value creation process, in which, under-managed land is transformed into its highest production capabilities. In addition, I would like to highlight that we have continued executing our strategies of selling a portion of our fully matured land every year. The sales of San Jose and Santa Regina farm were both completed at 31% and 11% premium to the independent appraisal respectively. We believe these transactions confirm the value of our farmland. Lastly, we have been able to obtain various sustainability certifications during 2012. Our sugar and ethanol production were certified under the Bonsucro and LCFS standards, while our soybean production was certified under RTRS and the 2BS scheme. This level allows us to enter new markets and obtain price premiums, which is another proof of how sustainability and long term profitability go hand in hand. Now, I would like to ask Charlie to walk you through the main operating and financial highlights of the quarter. Charlie, please go ahead.
Carlos A. Boero Hughes: Thank you, Mariano and good morning everyone. Starting on page 2, I would like to go over the operating performance of the sugar, ethanol and energy business. As you can see in the top chart, during the fourth quarter of 2012, we crossed 1.4 million tons of sugarcane at the Angelica and UMA mills, almost double of what was milled in the same period of 2011. Despite the delays in harvests we experienced during the first semester of 2012, stable weather conditions in the second semester allowed us to crush all the sugarcane and (inaudible). As a result, overall sugarcane milled during 2012 reached 4.5 million tons of [cane], 8% higher than 2011. This growth was driven by the expansion of our sugarcane plantation. In the lower chart, you may observe in the bar on the far right, that the 2012 production mix was quite balanced between sugar and ethanol. However, the quarterly bars clearly illustrate how our production mix fluctuated during the year, favoring the production of the commodity, that provided the highest margin by movement [in time]. During the second quarter and throughout most of the third quarter, we maximized the production of sugar. But during the end of the third quarter, our production mix shifted towards maximizing anhydrous ethanol production, in order to take advantage of the higher margins obtained by anhydrous ethanol compared to sugar. The high sustainability of our mills has allowed us to quickly respond to the volatility of commodity markets, and therefore maximize EBITDA generation. On slide 3, you may observe, the production of sugar, ethanol and energy. As a result of the 90% increase in sugarcane, production volumes have significantly increased in the fourth quarter of 2012, compared to the fourth quarter of 2011. On an annual basis, the 8% increase in sugarcane crops, coupled with our 4.6% increase in (inaudible) in our 14% increase overall sugar and ethanol volumes. On the other hand, in spite of the increase in sugarcane milling energy production increased by 2%. The chart on slide 4 show sales volumes and average net selling prices during the quarter and full year for each of the product that we produce. As a result of the increase in sugarcane milling and the changes in the production mix, sugarcane volumes increased 6% year-over-year, hydrous ethanol sales volumes increased 16%, and anhydrous ethanol volumes increased 105%. While energy sales volumes were practically flat year-over-year. Average net selling prices for each of our (inaudible) measured in dollar terms were lower in 2012, compared to 2011. Sugar prices down 10%, hydrous ethanol fell 17%, anhydrous ethanol price dropped 34% and (inaudible) prices were 17% lower. Our average price for anhydrous ethanol was $90 per cubic meter, higher than that of hydrous ethanol. This price premium explains why we maximized anhydrous ethanol production during the most of the year. This premium were obtained in part by our sustainability in certification, which allows us to export ethanol into the US market as an advanced [biofuel]. About 26% of the anhydrous ethanol produced was exported to the US in 2012. Let's turn to slide 5, where we find the (inaudible) of the financial performance of the sugar, ethanol and energy business. In the other charts, you may see how the result of the strong increase in sugarcane crops during the fourth quarter of 2012, gross sales and adjusted EBITDA increased by 18% and 87% respectively. In addition, EBITDA margins were boosted from 29% to 43% driven by the higher capacity utilization. On an annual basis, adjusted EBITDA for 2012 totaled $97.5 million, 11% below 2011, while EBITDA margin was 36%, five percentage points below 2011. This increase is primarily explained by lower sugar and ethanol prices in 2012, as explained in the previous page. Lower prices were partially offset by an increase in operational efficiencies and synergies, resulting from the expansion of our sugarcane plantations, which allowed the Angelica mill to increase its capacity utilization from 79% in 2011, to 88% in 2012. As you can see on page 6, during 2012, we planted a total of 23.4000 hectares of sugarcane. 72% above the area planted in 2011. Over 87% of the planted area corresponds to the expansion of our plantation in order to supply sugarcane to the Ivinhema mill, which will begin milling operations this year. The increase in planted area year-over-year was accomplished as a result of the larger and (inaudible) and higher planting efficiency. As of December 31 of 2012, our sugarcane plantation consisted of 85,663 hectares, representing a 31% increase year-over-year. The growth will allow us to make full utilization of non-mill capacity next harvest season. On slide 7, I would like to give you an update on the Ivinhema recent projects. A construction of the first phase of the mill, which has 2 million tons of non-mill capacity has been completed on schedule and below budget. In November and December, we have performed operational milling tests with positive results. Ivinhema will be ready to start milling in April, producing sugar, ethanol and electricity. As of December 31, 2012, we have invested a total of $290 million in the construction of the industrial site; purchase of machinery and sugarcane plantations. We expect to deploy an additional $410 million over the next five years, in order to complete the construction of the mill, reaching 6.3 million tons of capacity by 2017. I would like to highlight that BNDES, the Brazilian Development Bank, has shown its support to Ivinhema. On December 27 of 2012, BNDES approved a R$680 million loan to finance the expansion of Ivinhema. The loan has 10-year tenure and a two-year grace period and an average interest rate of 4.14% in reais. I would now like to walk you through the main highlights of the farming and land transformation business. On slide 8, you may see our planting activities for the 2012-13 harvest year. As shown in the chart, our own croppable area has grown consistently over the last five years, reaching a total of 131,000 hectares in the current harvest season, 8,000 hectares or 7% of our previous harvest. This growth, mainly driven by our land transformation activities and land acquisition. During 2012, Adecoargo transformed and put into production approximately 9,000 hectares of land, of which roughly 5,000 was transformed into land tillable for rice production and 4,000 was transformed into land tillable for the production of total crops, adding soybean, corn and wheat. Growing crops on owned land is our main focus in the area, that contributes the highest EBITDA per hectare and net adjusted return. In addition to the owned planted area, we have planted 54,000 hectares of lease land and 34,000 hectares of second crop area. Leased area was reduced b 7.5000 hectares, since the (inaudible) existence, driven by reserve. Second crop area was reduced by 14.2000 hectares as a result of higher expected margins, while planting soy first crop, compared to the expected margin of planting wheat, followed by soybean second crop. Overall, we have (inaudible) in 19,000 hectares, 5.9% below the present harvest year. We believe the expansion terms will allow us to maximize margins and returns. On the bottom part of the side, you will find a table with planted area on a crop by crop basis. The most significant increase in planted area was in soybean first crop, which grew at the expense of our reduction of wheat and soybean second crop. This was the result of higher expected margins per hectare for soybean first crop compared to the expected margin from wheat plus soybean second crop. Our rice planted area continued its growth trend, reaching 45.2000 hectares, and that was 9% higher than the previous season. As explained earlier, this is a result of our land transformation. While the changes in the crop mix are mainly driven by our [proposition] strategies, which seeks to maximize the long term productivity and quality of the soil. Let's move to slide 9, where we can see the evolution of monthly rainfalls in our farm located in Venado Tuerto, in the Argentine (inaudible). The green bar represent the current harvest year, and the orange year represent the historical average. As earlier noted, rainfalls were abundant from September through November of 2012. Despite planting delays in some regions of Argentina, planting in general was done in a timely order, and some humidity conditions for the initial growth phase of the crops were good. However, during January through mid-February of 2013, the main productive regions for Argentina suffered as well. The lack of rainfall negatively impacted the normal development of some crops. Soybean first crop was the most affected crop. With the drought sustained during the [spot] development and rain being [faint], but the freshwater requirements had (inaudible). Soybean second crop and corn planted in December have also been partially affected by lack of rain. Moving on to slide 10, I would like to walk you through the financial highlights of the farming business for 2012 compared to 2011. Starting with the left, you can see the financial performance of our crop segment. As a result of our 22.5% increase in same area year-over-year and higher commodity prices, gross sales for the segment came in 33% above 2011. However, adjusted EBITDA for the segment decreased from $42.6 million to $34.3 million. This lower year-over-year performance is primarily explained by lower crop use, as a result of the summer drought, as explained in the previous quarter. Moving on to the right, you may observe that our rice segment has underperformed compared to the previous years. The lack of adequate climate conditions during the previous harvest year, in addition below the national rice prices, reduced our adjusted EBITDA to 4.9 million. Nevertheless, climatic conditions during the current harvest year have been very good. We have already harvested 65% of the rice area. Year has been in line with our expectations, but significantly above the previous harvest season. In the case of our dairy section, milk production has increased by 7.2% compared to 2011. However, adjusted EBITDA was (inaudible) and below our expectations, due to lower national milk prices and high feed costs as the result of the increase in corn prices. On a consolidated basis, sales of our farming business increased by $52 million as a result of the [increased interaction], while adjusted EBITDA decreased by $17 million, primarily as a result of the climatic difficulties experienced during the previous harvest year, and the losses generated by the mark-to-market of hedge influence. Let's move on to slide 11; during 2012, Adecoagro completed the sale of two farms, mainly San Jose and Santa Regina. San Jose is a 7,630 hectare farm, which was purchased by Adecoagro in 2002, for a total of $0.7 million. At that time, the farm was being used exclusively for cattle grazing. Following the acquisition, Adecoagro implemented a sustainable production model, that has allowed it to grow [real] crops over part of the farm, and to increase the productivity of the pastures used for cattle grazing. The farm was [sold], fully developed 10 years later for $9.3 million obtaining an internal rate of return of 31.8%, mostly driven by an increase in the farms productivity and in domestic milk prices. The selling price was 31.4% higher at Cushman and Wakefield's independent appraisal dated September 2011, was $7 million. Santa Regina is a 3618 hectare farm, which was purchased by Adecoagro in 2002 for a total of $2.3 million. The farm has 3,200 hectares of croppable land, which has been transformed and are currently used to produce corn, soybean, and wheat. The selling price of the 51% stake sold was $13 million, 11% of our Cushman and Wakefield independent appraisal, dated September 2012. After accounting for the purchase price, transformation capital expenditures, operating [taxes] and selling price, this investment generated an internal rate of return of 34.2%. The book value of Santa Regina was $3.1 million, therefore this transaction resulted in $19.4 million of operating profits recorded in the fourth quarter of 2012, was the following breakdown; a $9 million corresponding to the sale of 51% stake of Santa Regina, and a $10.4 million gain corresponding to the fair valuation of Adecoagro's remaining 49% interest in Santa Regina according to IFRS accounting rules. As you may see in the bottom chart, Adecoagro has been able to consistently (inaudible) between one and three of its fully mature farms during the last calendar year, and have generated capital gains of over $132 million. We believe it's important to highlight, that all the sales were done at a premium to Cushman and Wakefield appraisal performed each year. Going forward, we expect a continuous (inaudible) in order to reallocate taxes efficiently and to give comfort to our shareholders regarding the net asset value of our farm portfolio. Page 12 shows the evolution of Adecoagro's consolidated operational and financial performance, in the last five years. Consolidated adjusted EBITDA for 2012 stands at $140.7 million compared to $150.1 million in 2011. As described during the previous slide, this is primarily the (inaudible), first, lower sugar and ethanol prices. Second, the (inaudible) generated by the mark-to-market of our hedge positions, and third, low yields obtained in our farming business. All of these were partially offset by a $10.6 million increase in our land transformation business. We expect Adecoagro production volumes and the financial performance to continue growing in line with a tendency of the last five years, mainly driven by the transformation and acquisition of farmlands; the construction of the Ivinhema mill, and the increase in operational efficiencies in each business. Finally, let's turn to page 13; our net debt, as of December 31, 2012 has increased to $320.3 million, compared to $285.6 million on September 30 of 2012. This increase was driven by our $30.1 million increase in total debt, and a $4.6 million decrease in cash. Primarily to finance our capital expenditures related to the Ivinhema mill. In addition, the long term portion of our debt increased from 60% in the third quarter of 2012, to 66% in the fourth quarter of 2012. The increase in the duration of our debt was the result of long term debt being raised, in order to finance the CapEx and working capital needs of the Ivinhema mill. Thank you for your time. We are now open for questions.
Operator: Thank you. The floor is now open for questions. [Operator Instructions]. [Fernando Teixeira] with Bank of America. Please go ahead.
Unidentified Analyst: Thank you and good morning everyone. I had two questions, first if you can comment on what's the plan for CapEx in 2013, and then the second question, despite the drought in Argentina that you are seeing, but in the next few months, do you think that you are going to have some sort of benefit from all the logistic issues that we are seeing in Brazil; and China recently cancelling a large buy order from Brazil, do you think this is going to benefit somehow, your farming business in Argentina? Thank you.
Mariano Bosch: Hi Fernando, this is Mariano. Thank you for your question. I am going to ask Charlie to answer your question, regarding our CapEx plan for 2013, and Marcelo Sanchez, regarding the potential benefits or the logistic issues in Brazil. So Charlie please, can you answer the CapEx plan for 2013?
Carlos A. Boero Hughes: Yes sure. Hi Fernando, how are you doing? We are expecting to spend about $230 million in the sugar and ethanol business, mainly in the Ivinhema construction, and in addition, we are expected to continue developing land, by spending $6 million on the land transformation.
Mariano Bosch: Marcelo?
Walter Marcelo Sanchez: And regarding whether logistic issues in Brazil could be impacting positively in Argentinean crop prices, I think that's a good point and we strongly believe that the bottom, the logistic bottlenecks in Brazilian [ports] will be definitely strengthening our basis in Argentina, mainly for soybean and corn, which is at -- probably an increase in prices by June-July this year.
Unidentified Analyst: Are you already seeing that right now in the market, or do you think that's going to come in, say the next couple of months?
Walter Marcelo Sanchez: Yeah the market, the market has already been putting that into the prices in Argentina, mainly in soybean, the price increased 3% regarding in comparison with the basic (inaudible) price today.
Unidentified Analyst: Perfect. Thank you.
Operator: Our next question comes from Rodrigo Mugaburu with Morgan Stanley. Please go ahead.
Rodrigo Mugaburu - Morgan Stanley: Hi good morning. Hi Mariano, Hi Charlie. I have kind of a follow-up question to the CapEx. Given the situation that we are seeing the news in the field, distressed news, do you see opportunity for M&A, if you find something, would you be open to analyze it, or you are going to be more focused on the ramping up of Ivinhema? On top of that same thing for the farming business, do you see opportunity for land transformation in Brazil? Would you be open to that in 2013?
Mariano Bosch: Hi Rodrigo this is Mariano. Regarding your first question whether we will potentially do M&A or continue the ramp-up of Ivinhema, we are seeing some opportunities on the M&A side of mills in Brazil. But we are always looking at our best returns. Till we haven't found anything as attractive as continuing with the ramping up of Ivinhema. So the most attractive return that we still see is on the ramping up of Ivinhema, and we are very positive on that, if there is something as good as that, and better than that, of course we would be looking, and we are always looking at the market. So that is regarding the first part of your question. And regarding farming and land transformation in Brazil, we are looking at that, we are negotiating things there, and we are seeing that we will able to close something, but we are still always focused on the return on investment that that opportunity needs to give us in order to close.
Rodrigo Mugaburu - Morgan Stanley: Great. Thank you very much Mariano.
Operator: Our next question comes from Thiago Duarte with BTG Pactual. Please go ahead.
Thiago Duarte - BTG Pactual: Hi. Good morning everybody. I have three questions here. The number one, if you could quantify a little bit more about the yields in Argentina because of the drought and everything? I understand that the yields should still improve year-over-year, but if you could make it relative, let's say 2011, just to understand how the impact of drought will play out, especially for soybean, as you mentioned. My second question is back to the sugar and ethanol business, I understand that there is a big ramp-up for the Ivinhema mill going on this year. So just wondering if you could -- what sort of level of margins you guys are expecting, by knowing your hedging prices for sugar, prices of ethanol are improving as well, but you have this whole ramp-up, so I was wondering there is some sort of temporary impact on cost or something? And my third question back to M&A, is about, if you guys are comfortable -- if you guys think that we should continue to assume the same level or the same pace of land monetization in Argentina as it has been in these past many years? Thank you very much.
Mariano Bosch: Okay. Thank you, Thiago. I am going to address your three questions. Number one, on the yields in Argentina for next year -- this year compared to last year. I would say that the main impact is on three crops, three most important crops that we need to analyze in Argentina, soybean, rice and corn. In rice, we are better off than 2011, and till now what we are seeing of the crops and what we are starting harvesting, we are at least 15% above of last year. That is clear for rice, and we are much better off. In corn and soybean, that is the ones that are mainly affected by the drought, because rice has not been affected at all. I would say that we are still better off than last year, and still better off in our -- how we see the crops till date, between 10% to 15% better than last year, but there is still remaining growth that will occur during March and April. It is important to monitor how the temperatures are going in March and April, so it will depend on the temperatures of April. If it is a normal year or an average year, we should expect higher yields than last year. But we did have this part of the growth to be completed. So that would be the -- your first question. On the second question regarding the ramp-up of Ivinhema and how the margins are going to be affecting, I would clearly say that every year, we are improving our cost of production, and so, the margins according to prices. But the most important thing is that, with this ramp-up, we are being more efficient every year, because of the improvement of each one of the operational efficiencies that we are ramping up, including harvesting, transportation cost, the [EBITDA] to the mill this year, with the ramp-up of Ivinhema, the EBITDA to the mill, because of our sugarcane plantation, it will improve a lot, because we have been planting and securing the area around Ivinhema, with two mills, that is increasing, so I would say that there is a clear ramp-up or there is a clear improvement on overall cost of production for our three crops in the ramp-up of Ivinhema, and we expect that to continue improving. You can see in the past, how we have been improving, and that's more or less the same, how you can project or how we could potentially continue improving. And then, the last part of the question regarding M&A and how the sales in the already transformed farm in Argentina or how that phase could potentially be? We do expect the same pace that we have been doing in the last seven years. So we have been around these $20 million generated off the EBITDA in the last -- in average for the last seven years. We do expect to continue within the same [medium pace].
Thiago Duarte - BTG Pactual: That's very helpful. Just a follow-up on the second question, would you say that it's okay or it's reasonably conservative to say that you can make an EBITDA margin better than in 2011 for sugar and ethanol? 37%?
Mariano Bosch: Of course. It will depend on the final prices and our (inaudible) price has an important effect there. So I would say that yes, we do, in terms of ethanol price, especially ethanol prices that are not fully locked as sugar. We should be there.
Thiago Duarte - BTG Pactual: Thank you very much.
Operator: Our next question comes from Giovanna Araujo with Itau BBA. Please go ahead.
Giovanna Araujo - Itau BBA: Hi, good afternoon. My first question is about logistics. How do you see the logistics constraints in Brazil, affecting your sugar ethanol operations, so that's the first question? And my second question is about the evolution of your leased area in Argentina. Should we see -- based on current returns, do you think that the trend is more for maintenance of the current leased area or should we see additional decrease going forward? Thank you.
Mariano Bosch: Hi Giovanna. I would ask Marcelo Sanchez to answer the first question regarding the logistics impacting in Brazil. For this one, it's not a big (Inaudible), Marcelo?
Walter Marcelo Sanchez: Thank you, Giovanna. I think that you are referring specifically to the logistic bottleneck in Brazil and not just the previous question regarding the positive effects that we might be seeing in Argentina.
Giovanna Araujo - Itau BBA: Exactly.
Walter Marcelo Sanchez: We have been foreseeing the situation in the last three-four months. As you may remember, in our last call, we have been mentioning that Brazil will be suffering a huge bottleneck due to the extremely high volume of corn and soybean coming out every month of April, still on record periods, and that, after taking that into consideration, we have locked ourselves in several flow of volume of sugar, considering that. Let's say, we have been contacting our space in the intermodal system at CTA Maringa we have been evolving some of the sales in containers, from [Paranagua], just taking into consideration that we could be making there, assuring premiums over the DHP and we tried from the beginning of this situation, we try to organize ourselves, as the flow of our production goes forward. We have already [logged place] for more than 230,000 tons of sugar, that means like, we have the space already in place and considering that, I think that we won't be experiencing more trouble than what is expected in the market today.
Giovanna Araujo - Itau BBA: Okay.
Mariano Bosch: Thank you, Marcelo. On the second question, on what could you expect on the evolution of the lease area in Argentina, we are starting now on the renegotiations of the contract, that the renegotiation occurs until August. So from now to August is where we will be defining that. With the increase, the (inaudible) rates that we ask for that business in Argentina today, we have increased that returns that -- the IRR that we are asking for that business today. But there are being many opportunities. So although we have increased the business (inaudible), we may increase or not. We are seeing a lot of opportunities and many people are willing to lease the farms to us, with being making an (inaudible) we have been slowly growing, last year we didn't. So next year, we can expect that slight growth or not, if the business are not there. But we won't see a huge change. Maybe some 10% to 20% decrease, not more than that.
Giovanna Araujo - Itau BBA: Okay. Thank you, Mariano.
Operator: The next question comes from Pedro Richards with Raymond James. Please go ahead.
Pedro Richards - Raymond James: Hi Mariano, Charlie and Marcelo. Thanks for the call. I have two questions. First, regarding the sugarcane business in Brazil, if you can give an updated outlook on how will your sugarcane plantation reach the start of the harvest, and how much production capacity are you guys expecting to use this year, with the incorporation of Ivinhema, and if the sugar and ethanol production mix will continue to be that of the 4Q that you show in slide number two? The second question on the farming business in Argentina? I wanted to understand the ability of farmers to hold the harvest and not sell immediately, expecting further depreciation of the peso, and also what is your forecast of the FX rate of the peso by the end of this year, considering the significant loss of competitiveness, as cost in pesos increase, and with inflation and the prices are in dollar only as the depreciation rates? Thanks.
Mariano Bosch: Okay, thank you Peter. Marcelo Vieira, can you answer the first part of the question of the sugar production and the utilization capacity, and how we are seeing the sugarcane this year.
Marcelo Vieira: Yes Mariano. Regarding the evolution of the plantations this year, we have had so far, weather that has been more or less normal. So we expect no damage impact, like we have seen in previous years. So the plantation looks fine. We expect Angelica to operate to capacity this year, that's 4 million tons and Ivinhema, on the first year, we will be operating at 75% capacity, total capacity is 2 million tons, we will be crushing 1.5 million tons more or less. And also UMA in Minas Gerais is also operating at full capacity and plantation also looks fine.
Pedro Richards - Raymond James: Excellent. And the production mix?
Marcelo Vieira: Production mix should be similar to last year. We should start the season with good focus on ethanol, but we foresee no big difference from last year.
Pedro Richards - Raymond James: Thanks Marcelo.
Mariano Bosch: Okay Peter, regarding the second question on what's the ability of farmers to hold harvest, I think that is relatively easy with (inaudible), but depending on the financial situation of each farmer, we do have a clear case on how we are going to be selling, and part of our strategy would be to sell during the period where we are thinking we are going to obtain those better [rates] as Marcelo Sanchez was talking about, comparing directly, so that's why we are organizing a sale if mostly from now till August. That is where we think we can obtain some premium bases coming out from Argentina. So that would be our strategy. Regarding the effect that you were asking, market consensus is talking about six, and that could basically be the case on how this is going to be moving.
Operator: [Operator Instructions]. Next question comes from (Inaudible). Please go ahead.
Unidentified Analyst: Hi good morning. Two questions on the sugar, ethanol front. Could you please discuss your views on the expected move by the Brazilian government to lower [VISCOFIN] taxes on ethanol. Do we expect it to have any effect on the hydrous ethanol competitiveness? And secondly, what is your outlook on ethanol exports to the US from Brazil in the coming harvest year?
Mariano Bosch: Okay. Ravi, thank you for your question. I want to ask Marcelo Vieira to answer the first part of your question. Marcelo is in the [UNICA] more and he has been discussing all these issues within the -- he has been involved in all the discussions. So I will ask him to answer this question.
Marcelo Vieira: Yes, regarding ethanol. The prospects looks certainly better for this season. The government is focused on making ethanol viable and competitive. So encourage new investments in the expansion, so we had so far this year, the increase in the mix to 35%, and we are going to have quite soon, the reduction in [VISCOFIN] taxes and probably some reduction in labor taxes as well, for the whole industry. So this will certainly increase the competitiveness of ethanol. Also, in the discussions with government are -- also strategies to encourage more production of energy from biomass, which also adds to the competitiveness and viability of the industry. The main thing is that the attitude of our government is definitely towards making new investments viable, and these measures are a first step and which should be given more incentives in the future.
Mariano Bosch: Thank you, Marcelo. And I am going to ask Marcelo Sanchez to answer the second part of your question, regarding the competitiveness of the exports of ethanol to the US, how we see this for this year?
Walter Marcelo Sanchez: We are focusing 1.5 million cubic meters of exports to the US, in anhydrous and (inaudible) in hydrous. But today, the average of that is close, and we expect that to open closer to the [driving system] in the US, that would be May-June, and we think that even though we are thinking it would be positive, I think that probably could be lower than last year.
Unidentified Analyst: Very helpful. Thank you so much.
Operator: [Operator Instructions]. We have no further questions. This concludes the question-and-answer session. At this time, I would like to turn the floor back over to Mr. Bosch for any closing remarks.
Mariano Bosch: Okay. Thank you everyone for attending the call. I would like to add that we have just started 2013, a year in which we continue to grow and optimize our operations. We have many challenges ahead, and I comprehend that our teams will deliver results, that would translate into attractive return to our shareholders. Before we end the call, I would like to invite you to participate in the Adecoagro Investor Day on April 25 and 26, when will hold the opening ceremony of the Ivinhema mill, and also do site visits to the mills and sugarcane plantations, where you will have a chance to see our state of the art operations and spend some time with management. You would be receiving invitations by email over the next day. So please contact Hernan Walker at our IR Department to [confirm] the visit. Looking forward to seeing you soon. Thank you for attending, and have a great day.
Operator: Thank you. This does conclude today's presentation. You may disconnect your line at this time and have a nice day.